Operator: Welcome to the Walt Disney Company First Quarter Fiscal Year 2015 Earnings Conference Call. My name is Ellen and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Lowell Singer, Senior Vice President, Investor Relations. Mr. Singer, you may begin.
Lowell Singer: Good afternoon and welcome to the Walt Disney Company’s first quarter 2015 earnings call. Our press release was issued about 45 minutes ago and is available on our website at www.disney.com/investors. Today’s call is also being webcast and the webcast and a transcript of the call will also be available on our website. Joining me for today’s call are Bob Iger, Disney’s Chairman and Chief Executive Officer and Jay Rasulo, Senior Executive Vice President and Chief Financial Officer. Bob will lead off followed by Jay and then of course we will be happy to take your questions. So with that, let me turn it over to Bob and we will get started.
Bob Iger: Good afternoon. I am very pleased to announce that Walt Disney Company had another incredibly strong quarter, with diluted earnings per share up 23% to $1.27. These results were driven by solid performance across all of our businesses and once again demonstrate the strength of our brands and content and a proven franchise strategy that will drive long-term value. And Frozen is a great example of this strategy. On March 13, along with Cinderella, we are premiering a new 7-minute short, Frozen Fever, bringing back all the beloved characters and voices and introducing a great new song. This time last year, we were excited about the box office success of Frozen, which went on to win the Oscar and become the highest grossing animated feature of all time. Now, a full year after its release, we are seeing the true impact of Frozen across our entire company. Overall, retail toy sales in North America were up 4% in 2014. And according to a leading market research firm, much of the credit for that growth belongs to Frozen, which was both the biggest and fastest growing toy property of the year. It’s also enormously popular in our parks and resorts. It’s showcased in a successful mobile game and it gave a significant boost to our home entertainment business for the quarter, along with Maleficent and Marvel’s Guardians of the Galaxy. And Frozen is just one of the 11 franchises at Disney currently driving more than $1 billion each in annual retail sales. The strong holiday demand for Frozen as well as Mickey and Minnie, Spider-Man and Avengers led to the most successful quarter ever for Disney consumer products. Among media companies, Disney stands out. No one else comes close to our unparalleled collection of strong brands or our pipeline of great content. And our unprecedented ability to leverage creative success and creating value across the entire company allows us to adapt to emerging challenges, take advantage of new opportunities, and most importantly, innovate for the future. For example, who else but ESPN could launch the first ever College Football Playoff with such enormous and immediate success? The two semifinals and the national championship broke previous records to become the three most watched telecasts in the history of cable television, an achievement that speaks to the tremendous potential of this annual event and further strengthens ESPN’s undisputed position as the number one sports brand. Our studio is obviously a key franchise driver and we have a strong slate of upcoming movies. We started the fiscal year with Disney Animation’s Big Hero 6, which has already generated just under $500 million in global box office. It’s also the number one in Japan for five weeks and is yet to open in some key markets. And Into the Woods has been both acclaimed by critics and embraced by audiences. As I said, next month one of our most beloved and iconic characters comes to life in Disney’s first-ever live-action Cinderella. It’s a fresh look at this classic story and it’s also a stunningly beautiful film. Later in the spring we are looking forward to an original Disney adventure called Tomorrowland, starring George Clooney and directed by Brad Bird. As every Marvel fan knows the highly anticipated Avengers sequel, Avengers: Age of Ultron opens in May. And when the first trailer was released in November fans viewed it more than 34 million times in just 24 hours. The speed and magnitude of that reaction certainly speaks to the incredible excitement around Avengers. Ant-Man debuts in July bringing another greater character to the screen was model Marvel’s trademark blend of action, humor and heart. We are also thrilled to have two original Pixar movies on the way this year. In June Inside Out will give audiences an all access pass into the mind of an 11-year-old girl and the Thanksgiving, The Good Dinosaur takes a humorous look of what world would be like if the asteroid that wiped out the dinosaurs had actually missed. Of course a millions of Star Wars fans, the first 11 months of this year will be an exciting countdown to the December 18 release of Star Wars, The Force Awakens. There is a strong emotional connection to this franchise that transcends geography and generations and the brief teaser trailer released last November has been viewed more than 123 million times. Having been on the set and seen most of the footage I can definitely say that our excitement is justified, it marks the beginning of a new era of exceptional Star Wars storytelling as well as an opportunity for continued growth across all of our businesses. As a truly global company, we have talked a lot about the importance of developing local content. And the success of the film PK in India is a perfect example. It’s now India’s highest grossing movie of all-time with almost $107 million in global box office. It’s also Bollywood’s most successful movie ever, co-produced and released by our Indian subsidiary, UTV, PK will soon be on 3,500 screens across China. This is also a dynamic and exciting time for our parks and resorts with another very strong performance in Q1 and plenty to look forward to including the spectacular Shanghai Disney Resort. I was in China the week before last and saw amazing progress. We just topped off our signature Shanghai Disneyland Hotel and we are nearing completion on iconic features throughout the park including the largest castle we have ever built. And we are getting ready to start testing hundreds of performers we will need to entertain our guests. It’s thrilling to see Shanghai Disney Resort rapidly coming to life. The artistry, complexity, the magnitude of the detail, it’s all quite astonishing As you recall after we broke ground on this incredible resort, we announced an $800 million expansion, significantly increasing both the size of the park and the number of attractions available to our guests on opening day. Even with that expansion, we will complete major construction by the end of this calendar year. And we are planning a spectacular grand opening in the spring of 2016, which we believe is the optimal time to showcase the full grandeur of this world-class destination. Obviously, we are proud of our performance and our record of creating significant value for our company and our shareholders and we are very optimistic about our future. And now I am going to turn the call over to Jay to take you through the details of our Q1 performance. And then we will take questions. Jay?
Jay Rasulo: Thanks Bob and good afternoon everyone. Fiscal 2015 is off to a great start as we delivered another strong quarter of financial results. Earnings per share were up 23% driven by record revenue, up 9% over last year and 17% growth in the segment operating income. The results this quarter, which I will go with more detail in a moment, are further evidence that our strategy of investing in high quality content drives significant long-term value across our businesses. At consumer products, our broad content portfolio fueled incredibly strong financial results. Segment operating income was up 46% on revenue growth of 22%. Margins expanded by 720 basis points, reflecting strength in both our merchandise licensing and retail businesses. Growth in was driven by Frozen and to a lesser extent Disney Channel properties Mickey and Minnie, Spiderman and Avengers, partially offset by higher revenue share with the Studio. On a comparable basis earned licensing revenue in the first quarter was up an impressive 23% over last year, which is particularly notable given the size of our licensing business. Higher results in our retail business were primarily due to the continued demand for Frozen merchandise which drove double-digit growth in same-store sales in North America, Europe and Japan as well as higher online sales in those regions. At the studio, the success of our fiscal 2014 theatrical slate continued to drive financial benefits in the first quarter. Operating income was up 33% over last year due to increases in home entertainment, higher revenue share of consumer products and an increase in television distribution. While we are very pleased with the worldwide box office performance of Big Hero 6, theatrical results were lower in the first quarter, reflecting the record-breaking performance of Frozen last year. The increase in home entertainment was primarily driven by higher unit sales of Guardians of the Galaxy, Frozen and Maleficent compared to Monsters University and the Lone Ranger in Q1 last year. The increase in television distribution in the first quarter was due to better performance of Q1 titles, including the Avengers, Captain America 2 and Frozen compared to last year’s titles. The studio recognized a higher revenue share in consumer products in the first quarter due to strong sales of Frozen merchandise. The Parks and Resorts segment had another great quarter. Operating income was up 20% on a revenue growth of 9% due to continued strength at our domestic operations. Despite the lower results at our international operations, total segment margins were up 190 basis points with major new initiatives accounting for 80 basis points of the year-over-year increase. We continued to be pleased with the performance of our recent major investments that they have contributed nicely to the robust growth of the domestic-based business. In the first quarter, growth in operating income in our domestic operations was driven by higher guest spending and attendance at our domestic parks and higher passenger cruise days at the Disney Cruise line partially offset by higher costs. For the quarter attendance at our domestic parks was up 7%, with Walt Disney World and Disneyland Resort, each setting an all-time attendance record for any quarter. Per capita spending in our domestic parks was up 4% on higher ticket prices, merchandise, and food and beverage spending. Occupancy on our domestic hotels was up 8 percentage points to 89% and per room spending was up 4%. So far this quarter, domestic resort reservations are pacing up 3% compared to prior year levels, while book rates are up 4%. Turning to media networks, segment revenue was up 11% and operating income was up 3% as higher results at broadcasting were partially offset by lower results at cable due primarily to higher programming and production costs at ESPN. Broadcasting operating income increased 35% driven by higher affiliate revenue and higher program sales partially offset by lower ad revenue. The growth in affiliate revenue was due to contractual rate increases as well as higher rates in new affiliate agreements. Program sales were up in the first quarter due to sales of ABC Studio shows, including Criminal Minds, Scandal and Once Upon a Time. Ad revenue at the network was down in the quarter as a result of fewer primetime units sold partially offset by higher rates. Quarter-to-date scatter pricing at the ABC Network is running 10% above upfront levels. Cable segment results were down modestly as lower operating income at ESPN was partially offset by increases at worldwide Disney channels and ABC Family. Lower results at ESPN were primarily due to higher programming and production costs and to a lesser extent higher marketing costs related to the College Football Playoff and the launch of the SEC Network. This quarter’s results reflect ESPN’s continued investment in what is already a deepest and broadest portfolio of sports rights. As a result, programming and production expenses were up mid-teens percent during the first quarter due to higher expenses for NFL rights. And this is the first year of ESPN’s new 8-year contract and additional sports rights for the SEC Network. As we have discussed in the past, we expect growth in cable programming costs to be in the low-teens and that increase will be heavily weighted towards the first half of the year. We expect cable programming costs to be up about 25% in the first half of the fiscal year and relatively flat in the second half. The cost increase this quarter and what we expect in Q2 are consistent with the first half and full year outlook. ESPN has long-term agreements in place for the most valuable sports rights. While the first year of new contracts may result s in above-trend cost increases and adversely effect results in the short-term. We remain confident in our ability to continue to grow ESPN over long-term. During the first quarter we entered into a major affiliate distribution deal, marking a completion of new agreements with our ten largest affiliate partners. Due to contractual provisions in ESPN’s new affiliate agreements, ESPN will no longer defer a portion of its affiliate revenue for most of its contracts as was previously the case. Domestic cable affiliate revenue was up 20% in the quarter reflecting the benefits of new affiliate agreements, lower deferred revenue at ESPN and the launch of SEC Network. The 20% increase in affiliate revenue includes a year-over-year benefit of $136 million at ESPN deferred, $136 million in affiliate revenue in Q1 last year compared to no deferred affiliate revenue in Q1 this year. Adjusting for the timing of deferred revenues at ESPN, domestic cable affiliate revenue was up low double-digits. Ad revenue at ESPN was down 2% in the first quarter. While total day ratings were up, ad revenue was lower as ratings for certain key programs were down compared to last year, partially offset by higher rates. So far this quarter, ESPN ad sales are pacing up 18% on the strength of the first College Football Playoff which aired last month. The increase at worldwide Disney channels was due to higher affiliate revenue at domestic channel and higher advertising revenue at international channels, partially offset by higher programming costs. The increase at ABC Family was driven by higher affiliate and advertising revenues reflecting an increase in units sold. At Interactive, operating income increased 36% in the quarter driven by higher results from our mobile gaming business due to the continued success of Tsum Tsum as well as lower product development costs, partially offset by lower results at our console games business. Lower console game performance reflected higher producing costs, driven by Disney Infinity, lower unit sales and higher marketing costs. The decrease in unit sales was driven by lower sales of catalog titles and Disney Infinity figures, partially offset by higher sales of Disney Infinity starter packs. We continued to take a balanced approach to tackle allocation by investing for the long-term sustainable growth, while returning meaningful capital to our shareholders. During the first quarter, we repurchased 15 million shares for about $1.3 billion and increased our dividend by 34% from $0.86 per share to $1.15 per share. Fiscal year-to-date, we have repurchased 15.5 million shares for about $1.4 billion. Overall, we feel great about this quarter. As we look across our businesses there is a lot to be excited about in 2015 and beyond. But we are not taking anything for granted as we have recognized we had a lot of work ahead of us. We believe the strength of our brands coupled with the integrated nature of our company can create long-term sustainable value for our shareholders. And with that, I will turn the call back to Lowell and we would be happy to take your questions.
Lowell Singer: Okay. Thank you, Jay. Operator we are ready for the first question.
Operator: Thank you. We will now being the question-and-answer session. [Operator Instructions] The first question is from Michael Nathanson with MoffettNathanson.
Michael Nathanson: [Technical Difficulty] I have one for Jay. So Bob now that we have seen the Dish Sling offer, we had a question, we wonder if you had any insight into whether or not the ESPN viewer is also a heavy RSN viewer. And if so how does that affect the take up rates of a bundle that doesn’t have an RSN, but has ESPN?
Bob Iger: Michael we don’t really have that much data on one how much Dish has succeeded in selling the Sling package to its customers. And we don’t have data on the customers themselves right now. So, we just don’t know. I will say though since you give me the opportunity that it’s all designed to attract consumers or households that are either cord-nevers or cord-laters. And we believe that there is an attractiveness too or a real justification for trying to convince, particularly millennials to sign up for some form of subscription TV when they might not have signed up for any.
Michael Nathanson: I guess the question is, are millennials who are sports fans also RSN fans or you think it’s a starter package for them using ESPN?
Bob Iger: We just don’t have – we don’t have data. I think your premise is interesting that if they want ESPN, chances are they are RSN viewers and if they are RSN viewers, then they probably have to have the expanded basic bundle. So, we are probably I am guessing that, I think I am not sure what you are referring here, maybe what you are suggesting is that there aren’t many left. In other words that, if they are sports fans, then they probably have to have expanded base of cable, because they have to get it to get RSN. Is that what you are saying?
Michael Nathanson: Yes, that’s what I am saying.
Bob Iger: So, there is not many left, we will see. We don’t have enough data yet.
Michael Nathanson: Okay. And let me move to Jay, thanks Bob. And then Jay you said occupancy in the hotels in Disney parks and resorts were up 89%, going back to your history of running parks and resorts, once you get to 89%, can you talk about what types of pricing levers do you see historically, because I think that’s probably the best number we have seen pre-recession or post-recession?
Jay Rasulo: Michael, I think hoteliers in general will tell you that to try to fill a hotel beyond 89%, 90%, 91% is extremely difficult, because it takes – to go beyond that, it takes too many match-ups of people who are staying three nights checking out replaced by five nights replaced in rapid succession, it becomes quite difficult. So, I think that you are right that when you see occupancy in that kind of range, you are getting close to pretty much a full house and those were historically the numbers at which we started to think about expanded capacity. Of course, relative to the Orlando market, there are many – still many, many more hotel rooms off property than they are on property. And I am sure they are not experiencing rates of occupancy anything like that.
Michael Nathanson: Okay, thanks. Thanks Jay.
Jay Rasulo: You are welcome.
Lowell Singer: Thank you, Michael. Operator, next question please.
Operator: Jessica Reif Cohen with Bank of America, please go ahead.
Jessica Reif Cohen: Thanks. I guess on the theme parks, two things. Is there any – on MyMagic+, is there if anyway you can give us some color or quantify the impact on guest spending and guest flow, that’s something you mentioned that it would improve efficiency? How should we think about the benefits of MyMagic+? And the second question is in this ramp-up to Shanghai, can you give us some more color or detail on the financial impact in fiscal ‘15 as you spend into the opening of ‘16?
Bob Iger: Well, on MyMagic+, Jessica, I will take this one. First of all, about 10 million guests have already worn the bands. And so what we are hearing from them is overwhelmingly positive, basically a percentage that rated as excellent is significant. So, what that basically tells us and what we actually have seen is that it is serving the purpose that we set out to serve, which is to essentially make the experience more seamless, basically make it easier to give people an opportunity to enjoy what they do when they visit Orlando or Walt Disney World even more than they used to it and make them enjoy more of it, meaning experience more. Just to give you for instance there were days during the holiday season where we were entertaining 250,000 guests at a time on property. And when you just consider how many guests you have to flow through the gates when the park opens in the morning, the fact that you have a band that enables you to basically walk right in, touch the band to a kiosk and keep going, instead of handing a ticket to a cast member making sure the ticket is right and then going in. That’s obviously creating a huge improvement meaning much quicker entrance into the park. And what this all adds up to is our ability to manage more people at a time without in any way diminishing guest experience. We did see in the quarter a positive impact to the bottom line from MyMagic+ just the beginnings of it. We will continue to see more of that, but we do not have data that we can share with you right now about specific guest spending.
Jay Rasulo: Jessica, this is Jay tying in your second question about Shanghai pre-opening costs. I am not going to go into the details of what that will be in fiscal ’15, but following on what Bob just said about MyMagic+ becoming accretive this quarter, I will tell you that the increase in contribution from MyMagic+ this year will outweigh the preopening spending on Shanghai Disneyland in our total numbers for fiscal ’15. So that might give you some sense at least that Shanghai will not be a drag on our earnings in fiscal ’15.
Jessica Reif Cohen: Great. Thank you.
Bob Iger: Thanks a lot.
Lowell Singer: You’re welcome. Operator next question please.
Operator: Doug Mitchelson with UBS, please go ahead.
Doug Mitchelson: Thank you so much. So I have one for Bob, one for Jay as well. Bob your comments on Sling TV and not having data on the customers hits squarely on the question I wanted to ask you which is with the broadband only non-Pay TV market growing in size, I would think it becomes ever more interesting for Disney to address that. And I think the default is generally support the existing Pay TV bundle and highlight Hulu and Sing as dipping your toe in the water. But I was hoping you address whether there is a potentially superior business model for Disney to capture the distribution margin yourself, benefit from dynamic advertising targeted of course and having that direct relationship with the consumer that you have been seeking. And I will just throw Jay’s question in there now as well, you have been asked a lot of questions on recent calls about ESPN’s top line I wanted to refocus on margins, so with the March 2015 quarter the company is finishing long and expensive build-out sports rights, it seems like the rest of the decade you have only got a couple of tough quarters when the NBA hits. Are we thinking about that correctly that even if ESPN revenue growth might moderate a bit cost growth is also moderating, any reason to think that margins shouldn’t generally be flat to up going forward ex-those NBA quarters? Thanks so much.
Bob Iger: Doug, I will take the first quarter of the question or your first question since it was directed to me and you are right there are 12 million right now subscribers to broadband only service. And that’s the subscriber that we are trying to reach with this Sling or the Dish is trying to reach with the Sling package. And we believe that it’s a worthwhile experiment to a worthy attempt to try to convince young people or younger people to sign up the cable when they wouldn’t have signed up for it at all they might have waited, Michael’s comment aside. There is definitely an opportunity not just for ESPN, but for other Disney brands to ultimately put products in the marketplace that reach consumers directly. We think we have that opportunity with Disney branded service. We may have an opportunity to bring out Marvel type product and possibly even Star Wars. But we also are mindful of the value of the expanded basic bundle to this company. And we do not believe that there is any reason for us to attempt to take out some of this product particularly ESPN quickly or right now. In other words there is time. If we see that the market dynamics are changing in such a way that it’s better for us as a company to take the product out directly and to not only improve our margins by taking out the middleman, but to create a closer relationship with the consumer that can be mined for other revenue generating purposes then we will do that. But we think if we were to do that now, it would be somewhat precipitous of us and there doesn’t seem to be any reason to be that way.
Doug Mitchelson: Understood. And then Jay?
Jay Rasulo: In terms of your question on costs, let me tell you this Doug. First of all there are only a couple of bumps left, big upticks in the ESPN programming cost base over the next let’s call it 4 or 5 years. The first one we are in the middle of which is our new NFL deal, the launch of the SEC Network and start and next quarter in a pretty significant way the BCS College Football Playoffs. And the second big one down the road in ’17 is beginning of our new NBA deals. Other than those bumps which as I said one were in the middle of in fact we gave you some guidance on costs this year that we would be experiencing very heavy ESPN programming costs in the first half of the year and much lighter in the second I can tell you that those numbers look like about 25% in the first half of the year and only a 1% – flat to 1% increase in the second half of the year. And then there is 2017, when the NBA deal sticks in – kicks in. So, we have told you many, many times. Of course, I am talking about overall cable margins, because that’s all we speak of. Other than that, we have told you many, many times, we don’t run ESPN on a margin basis. We won’t give you guidance on what the margins will look like, but we expect the business to continue to grow. We have those two periods of a year-over-year or quarter-over-quarter cost increases and other than that we still have high expectations for growth in this business.
Doug Mitchelson: Thank you very much.
Jay Rasulo: You are welcome.
Lowell Singer: Doug thanks for those questions. Operator, next question please.
Operator: Alexia Quadrani with JPMorgan, please go ahead.
Alexia Quadrani: Thank you. I have two questions if I can. First, are you seeing the fantastic momentum in the consumer products business continue past the holiday season and how early can we sort of begin to see a ramp in front of Star Wars? And the second question sort of bigger picture question on advertising, it looks like you have a strong start to the year around advertising and ESPN, I guess in part from those very good ratings there. I guess any broader color you can provide on the advertising market, what you are seeing? I think you had mentioned earlier, Bob that you see a little bit of flattening out to the share shift to digital, I guess any color on that?
Bob Iger: We can’t give you much guidance on consumer products right now except to say that the business that we saw in January was quite strong. And we clearly were seeing some, I will call it even post-holiday momentum, which is unique in terms of our experience. And I think it speaks to continued demand for our franchises. We have got a great lineup of product in the marketplace this year when you consider Cinderella, which is in March and it’s a great film. And clearly, that’s a very important franchise for the company. And then we have got Avengers in May and then of course two Pixar films in calendar 2015, although we don’t know that any one of them will drive significant consumer products and then Star Wars as you mentioned, Alexia, the end of the year. We are not going to predict whether there will be a ramp-up of buying ahead of Star Wars, except that we believe because of the strength of the franchise and the buzz around the movie which we saw certainly was the case when the put the teaser trailer out just around the Christmas time, that we are likely to see some buying in advance of the movie of consumer products. The other thing that I wanted to mention, because we have talked a lot about Frozen, you didn’t mention it is that we are coming out on March 13 attached to Cinderella with a 7-minute Frozen short, that’s just great, that has all the key players both the voice talent and the character talent and other characters and a great song. And we actually believe it’s going to generate some more buzz for Frozen and that should generate more buying in terms of consumer products. Maybe Jay and I can may both address advertising.
Jay Rasulo: Yes.
Bob Iger: Well, Jay, why don’t you go ahead, Jay?
Jay Rasulo: Well, so kind of looking separately at the advertising market for ABC and the advertising market for the sports. Let me start with the latter. The Q2’s marketplace seems to be improved on the sports front. And with the powerhouse lineup of rights that we have in the sporting events that we have in Q2, particularly around the college BCS – college football playoffs, we are going to be able to take advantage of that uptick in the sports marketplace in Q2. On the ABC front, I think that we are not seeing any radical change in the market from what we have talked about in past quarters. Again, we are very, very happy with the lineup of shows that we have introduced both on the drama and comedy side. We have more of those coming in, in the market. And so we are hopeful that we can also take advantage of the dollars that are out there on the primetime side.
Bob Iger: And one other thing to add, I spoke to the head of ESPN sales this morning, there haven’t been that many new car launches in the last number of months. I know that one of the big automotives just recently – just released results which were quite positive. We think there is some real potential particularly for ESPN in the automotive category, which has not been a hot category if you watch the Super Bowl, there weren’t that many automotive spots in the Super Bowl for instance. But that’s an opportunity for the rest – in the rest of the year for ESPN as car companies rollout more new models which they haven’t been doing.
Alexia Quadrani: Thank you very much.
Lowell Singer: Alexia, thanks for the questions. Operator next question please.
Operator: David Bank with RBC Capital Markets, please go ahead.
David Bank: Okay. Thanks. I have two questions for whoever is willing to answer them. The first one is a follow-up on the last question actually, I was a little surprised at the revenue – the advertising revenue declines in ABC and that this is one of the most successful seasons to-date that I can remember for ABC, 18 to 49 I think you are flat to marginally up, you really sort of outperforming the rest of the industry. And I would think with a modicum of pricing you would have had stronger growth, so maybe looking for a little more color there. The second question is can you give us – Jay can you give us the actual change year-over-year in total sub-count at either ESPN or what you call the expanded basic bundle? Thanks very much.
Jay Rasulo: Okay. Thank you, David. Let me start with the advertising question. So to recap scatter pricing was up in the market and overall ad sales as you said were down as ABC sold fewer units this year compared to last year. And the lower unit sales can be attributed to a number of factors and I think the combination is – combination of those factors had an impact on this quarter making the advertising sales numbers lower. And those are related to the length of the show, how the shows are written, the number of promotional spots we put in these shows as opposed to sold spots, the number of ads we insert into the programs and how we use inventory in the quarter to manage our make good liability. And that – those all combined to deliver notwithstanding the ratings we had, the relative ratings we had this season to slightly depress our advertising revenue. But I think ABC is extremely well positioned this year relative to its peers. We expect tightening of inventory as the year progresses. And I think we are well positioned to take advantage of the market conditions, hopefully as they improve in the course of the year. On the subscribers side, I am not going to give you any help there. We don’t talk about subscribers, we don’t – we can’t give you the guidance there. So I am sorry about that.
David Bank: Can’t blame me for trying. Thanks very much guys.
Lowell Singer: David it was a good effort. Thanks for the questions. Operator, next question please.
Operator: We have Todd Juenger with Sanford Bernstein. Please go ahead.
Todd Juenger: Alright. Thanks. Let me take an effort at looking a little longer range at the parks if I may. So as the fruits of the slate of parks investments projects are now I think successfully rolling in and Shanghai’s grand openings insight, I wonder if you are at a stage where you are ready to share with us, so anything on your thinking about the future horizon beyond that. I know you won’t announce any specifics, but just generally are there types of opportunities that you can generalize that you find particularly interesting at the top of your list or are there certain things that you considered and rejected, how should investors think about your appetite to continue expanding your parks program. And then the second follow-up Jay if you could just remind us how you are thinking about leverage with all the growth in EBITDA and cash flow I don’t think you have issued much debt lately. So just remind us how you think about leverage as you move through the year? Thanks.
Bob Iger: Todd, in term of the parks, I think what you have to consider is that we are in construction to build a sizable Avatar presence in Avatar Land at Animal Kingdom in Florida. That’s slated to open sometime in 2017. We have a fair amount of design development work going on right now to greatly increase this is no surprise Star Wars presence in multiple locations around the world. We will have more details probably about that later on in 2015. The plans are ambitious and so it’s going to take some time for them to actually be built and open. But let’s just say that we have got big plans for it in [Technical Difficulty] Hong Kong and at Shanghai, obviously Shanghai is yet to open. So, maybe it would sound somewhat premature, but the size of the land that we have there, the expansion opportunities in a market that we think is just perfect for a Disneyland experience suggests that once we open, it’s just the beginning in terms of the variety of offerings that we will be able to provide. And then of course to – well it’s the franchise that we talked about earlier, which is Frozen, but I think that actually says a lot about other franchises too. There are clearly more opportunities to mind some of these great franchises across the parks. And when you go to Imagineering, there is an embarrassment of riches so to speak, in terms of stories and characters that the Imagineers have to draw from to great, great park experiences. And I think one of the things that we are seeing now in our parks and one of the reasons why the results were so strong across the Board, Christmas time is that there is definitely a halo effect that consumers have for Disney based on all of these franchises and it’s not just what exists in the parks, I think you have to include Marvel and you have to include Star Wars as well. The brand strength has never been stronger. The array of franchise has never been greater. We have said we have got 11 franchises that are going to generate $1 billion this year in retail sales. And that just I think results in enthusiasm for the brand and an enthusiasm for the park experience that we provide, that gives us not only ample opportunities to create from all of that, but for consumers to basically engage with us in more ways in more places than ever before.
Jay Rasulo: Todd, in terms of the balance sheet and our overall perspective on leverage, I guess I will say that we have been – we are very happy with our balance sheet. We are very happy with our strong ratings in the debt markets at all three agencies. And it really is a strategic asset for the company whether you look at our average cost of debt, the amount of subscription we get to any debt issuance we have put out, the rates at which we are able to manage our working capital through commercial paper, and of course the ease with which we can – we have thought about and executed on acquisitions without a concern about the impact of those transactions and potential transactions on our rating and on our – having a debt capacity to do that. So, I think in general, I don’t expect – you shouldn’t expect a radical change in that strategy. It doesn’t mean we won’t be in the debt markets this year, but I would expect that you will continue to see a balance sheet that reflects kind of the strategic use of not being – strategic positioning of not being overleveraged on the operation of our company and our ability to go to the capital markets.
Todd Juenger: Yes, that’s very helpful. Thank you both.
Jay Rasulo: You are welcome.
Lowell Singer: Todd thanks for the questions. Operator, next question please.
Operator: Ben Swinburne, Morgan Stanley, please go ahead.
Ben Swinburne: Two questions for either of you. The first one on consumer products, can you help put Frozen into context forth, now that you have the year, calendar year behind you including the holidays, where you had the inventory where you wanted to. I think years ago, we thought cars was the high watermark in terms of annual revenue contribution, but can you tell us whether Frozen has now exceeded that [Technical Difficulty] and growing licensing contributor year-in, year-out irrespective of whether there is film product, any comment on the margins too? I think your incremental margins at CP were in the almost 80% range. So, any color on profitability would be really helpful? And then I just wanted to make sure that the cable guidance was reconfirmed the high single-digit OI guidance, Jay, if you just could confirm that, that would be great? Thanks.
Jay Rasulo: Okay. Let’s start with your consumer products question. So, look I don’t think that we can underestimate the impact that Frozen has had across our company in all of our businesses, but I don’t think it would be right to take from that the implication that even our consumer products business was overly dominated by the Frozen franchise this quarter. You asked whether we think Frozen has – to put words in your mouth, we think Frozen has legs. We absolutely believe that this is beginning of a long-term franchise for the company and that will reflect itself in all of our divisions, consumer products certainly not the least of which. But even if you look at the last quarter, many other franchisers, franchises were contributors to the success of the consumer products division. By the way not the least of which was Mickey and Minnie, Disney channel franchises. And we like what Frozen delivered but it’s not – it’s certainly not one only for us. We have 11 franchises that now retail at over $1 billion as of the last year. So our consumer products business really has a lot of breadth in addition to depth. And we are only beginning this year to see what the Avengers and overall Marvel franchises are going to deliver which has also been a huge contributor. And I think if you look down the road you can imagine that we will be adding Star Wars to that pantheon in a very, very significant play with the release of that film. So it’s a broad-based business and I think that Frozen will continue to play a big part in it. But I wouldn’t make the mistake of thinking that is to say dominant force that you have to worry about repeating year-on-year in the consumer products business. In terms of margin, obviously the licensing business is incredibly highly leveraged. But I think the real margin story for this past quarter has been the Disney stores business where we saw increases both in the physical brick-and-mortar stores in all of the three regions we operate which is Japan, Europe and North America, as well as the online business in those three regions. So we have – I would venture to say and I think I am right about this we had historic margins in that business this past quarter and it was a big contributor to the margin story for consumer products. Your second question was about OI growth guidance for domestic cable. And I am only going to repeat, we don’t give quarter-to-quarter or annual guidance on that, but I am going to reassert what we said back in April last year at our Investor Day that fiscal ‘13 to ‘16, we are expecting high single-digit growth in cable OI. And we still are on target to achieve that.
Ben Swinburne: Thank you.
Lowell Singer: You’re welcome. Thanks for the questions Ben. Operator, next question please.
Operator: Jason Bazinet with Citi, please go ahead.
Jason Bazinet: Two very quick ones, you mentioned $1.3 billion of buybacks in the quarter and $1.4 billion fiscal year-to-date, was there anything that would cause you to be out of the market or in other words if you are in our shoes do you think we should be moderating our buyback for the quarter. And then second, we have been surprised that the strength in international inbound flights into the Orlando airport particularly in light of the stronger U.S. dollar, do you guys have any hypothesis for why international visitors would be up so much? Thanks.
Jay Rasulo: Okay. On buyback, I guess I will say this I am not going to really give you much guidance on this. But we remain committed to returning capital to shareholders as we have been through dividends and buybacks. You know, this year we announced a very significant increase in our dividend of 34% bringing it up to $1.15 and that happened in this quarter. And I wouldn’t focus too much on the first couple of weeks of this fiscal quarter as an indicator or any kind of guidance as to where we will wind up on the entire fiscal year relative to buyback. So I don’t have any big news for you. Our dividend is almost $2 billion that we paid out in quarter two. And I think you have to look at return to share – capital return to shareholders in aggregate which is the way we think about it. Your second question on arrivals, so I don’t think that we know or have seen an impact on international arrivals due to exchange rates, I have said for many, many quarters, the overall range of our international business is between 18% and 22% of total attendance at our domestic parks. Q1 is usually on the low end of that range. It was again on the low end of that range this year. And I think that if there is going to be an effect of the varying exchange rates around the world, it will take a while. And if those exchange rates affect the economies from which our international business is sourced, we might see an impact, but as of yet we have not seen that. And actually quarter-to-quarter, year-on-year, there wasn’t a huge change in our international business between fiscal ‘14 and fiscal ‘15.
Jason Bazinet: Thank you very much.
Jay Rasulo: You are welcome.
Lowell Singer: Thanks a lot, Jason. Operator, next question please.
Operator: Anthony DiClemente with Nomura, please go ahead.
Anthony DiClemente: Thanks very much. I have one question for Jay first and then one for Bob. Jay, on the broadcasting segment, this has been four straight quarters of operating income growth in addition to the rates resurgence at ABC, presumably re-trans and affiliate comp are a big part of that growth. So, I wonder if you would help us with the shape of the trajectory of re-trans or reverse comp over the next 2 or 3 years and maybe even as part of that give us an update as to what you are annualizing on that either in ‘15 or on an annual basis? And then for Bob, just on acquisitions, when Disney first made the acquisition of Maker Studios, you said that you saw it first and foremost as a distribution platform. And at a high level, I was just wondering if you could give us your thoughts on vertical integration or your updated thoughts, particularly vertical integration in digital? How does a more vertically integrated acquisition like Maker compare strategically for you to more horizontal acquisition in content, like Lucas or Marvel? Thanks.
Jay Rasulo: Okay. Let me start with your broadcast question. I am – we have said in the past that we expected by fiscal ‘15 to be in the $400 million to $500 million range in terms of re-trans, well it’s ‘15 and we are there – we will be there comfortably, but I am not going to update any further than that. On the overall broadcast business, I think that we have been saying for many, many years that our play in this business is to be the creator and owner of great shows. And those shows payback in the aftermarket when we sell them either to other networks into syndication or increasingly sell them to other distributors. And that’s what you are seeing in our broadcast results this quarter. It is exactly strategically where we want to be in this business. And the fact that we have shows on the network today that are being incredibly well-received have legs and are rating well is a very good indication from where we can be in this business.
Bob Iger: To respond to the question about vertical versus horizontal acquisitions and Maker, first of all, Maker’s results in terms of consumption, number of videos streamed since the time that we bought them has been up substantially, just huge growth. And what that tells us is really what our instinct was when we bought them and that is we were really interested in compelled by substantial increase in consumption of short form video on digital platforms. We had consumption of short form video on our own digital platforms like espn.com, disney.com, ABC, but we didn’t have the kind of traction or the kind of traffic that Maker had. And we thought this would be a great opportunity for us to distribute much more effectively in short form. It also was entrée into a world of creativity that we thought we could tap into, particularly when we allow those that are creating in that space access to our franchises and our brands. It was kind of a combination of things. It was just distribution expertise that we did not have as much as we thought we should and certainly production and creative expertise that we thought we could use. And it was I think a unique acquisition opportunity for us, again, given all the growth in short form consumption. I don’t think it necessarily suggests a direction in terms of where we are heading as a company overall. The power of this company largely is in its brands and storytelling and creativity that runs across platforms and is often distributed by third-parties whether they are movie theater owners, big box retailers, or MVPDs to name a few or new platforms like Netflix and Amazon and Hulu. So, I think the primary trust of the company is going to continue to be investing in its brands and its creativity and selling as broadly as we possibly can, but we like being in new space as well. And one last thing as I think this is going to loom larger and larger in terms of Disney’s future and we have touched upon it a little bit earlier today is I think this company needs to focus more on creating a tighter or a closer relationship to its customers for a variety of reasons, not only to mind customer data and usage and obviously create revenue opportunities from that, but to provide customers with experiences that they want in demand basically to be even more user-friendly, more customizable, more personalized. That’s really important in terms of the long-term future of this company. And you will see in various initiatives that are aimed at achieving just that.
Anthony DiClemente: Thank you very much.
Lowell Singer: Anthony, thank you for the questions. Operator, I think we have time for one more question today.
Operator: We have David Miller with Topeka Capital Markets. Please go ahead.
David Miller: Yes, hey guys. Congratulations on the stellar results. Just a couple of offbeat questions. I guess I am going last here, so a few of the obvious questions were taken. Bob, just first of all, I am surprised you didn’t call out the delay in Shanghai. I guess you can’t really call it a delay. Is the sort of postponement of the opening just due to – you know you want to open this thing kind of coinciding with the Chinese Lunar New Year in the spring or were there other nuances? And then I have a follow-up. Thanks a lot.
Bob Iger: When we signed the contract for Shanghai and when we broke ground, we said publicly that we were targeting the end of 2015 as an opening day targeting, which I think is important. We obviously were embarking on a very large fairly complicated project. One of the largest we have ever engaged in, probably one of the largest ever in China. After we opened, we decided that the opportunity existed in China and specifically in Shanghai to build something even bigger with more attractions and basically more capacity, so that we could handle more guests. And so not only do we design, but we agreed with our partners to build approximately $800 million more in capacity, which obviously added to the scale of what we are building. So, now that we are well into construction and we released a great photo today of the Disneyland Hotel, which gives you an idea how far along we are. We believe that targeting – the spring actually was more than targeting, we plan to open in the spring of 2016 is much more opportune for us given the size of what we are doing, what we are building and the complexity of it. And given the fact that the weather is better in the spring and as you said, David, it is after the Chinese New Year, where we expect, there would be huge demand and it’s a bit easier to open after that than write before. And I think I might have misspoken and after we broke ground we decided that will build larger, not after we opened. And so we have got a great project unfolding, I was there the week before last and every time I go, I am just amazed at the scale of it and the variety and the uniqueness of this and I continue to believe heavily in the opportunity that we have got to bring a great Disneyland experience to the most populous country in the world. And my enthusiasm has only grown for it, but because we are building something bigger and we like spring versus winter than the spring of ‘16 it is. And we probably will be more specific about an opening date, I am guessing sometime in the middle of this year.
David Miller: Okay. And just a brief question on Inside Out and there is just some mild confusion here at just – albeit just not that much confusion, but was Inside Out – and I am just asking out of just personal curiosity, was Inside Out original Disney IP that sort of got transferred over to Pixar and Pixar kind of took it over or was that from the very beginning original Pixar IP that we are going to see next year? Thanks a lot.
Bob Iger: No, that’s Pixar homegrown, actually grown from the mind of the great Pete Docter who directed and created Up and Monsters prior to that. And it comes out in June this year, but no, totally Pixar through and through.
David Miller: Thank you very much.
Lowell Singer: Alright, David, thank you for those questions and thanks again everyone for joining us today. Note that a reconciliation of non-GAAP measures that were referred to on this call to equivalent GAAP measures can be found on our Investor Relations website. Let me also remind you that certain statements on this call may constitute forward-looking statements under the securities laws. We make these statements on the basis of our views and assumptions regarding future events and business performance at the time we make them and we do not undertake any obligation to update these statements. Forward-looking statements are subject to a number of risks and uncertainties and actual results may differ materially from the results expressed or implied in light of a variety of factors, including factors contained in our Annual Report on Form 10-K and in our other filings with the Securities and Exchange Commission. Thanks, again everyone for the time today and this concludes today’s call. Bye.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.